Operator: Welcome to Kidpik Corp.'s Third Quarter 2023 Earnings Conference Call. Today's call will be conducted by the company's Chief Technology Officer, Moshe Dabah and its Chief Accounting Officer, Jill Pasechnick. The company's Chief Executive Officer is away unexpectedly today and will not participate. Before I turn the call over to Mr. Moshe Dabah, I'd like to remind you that statements made in this conference call concerning future revenues, results from operations, financial position, markets, economic conditions, growth objectives, product releases, partnerships and any other statements that may be construed as a prediction of future performance or events are forward-looking statements, which may involve known and unknown risks and uncertainties and other factors which may cause actual results to differ materially from those expressed or implied by such statements. For a discussion of some of the risk factors that could cause actual results to differ, please refer to the Risk Factors section of Kidpik's latest annual and quarterly filings with the SEC. Non-GAAP results will also be discussed on the call. The company believes the presentation of non-GAAP information provides useful supplementary data concerning the company's ongoing operations and is provided for informational purposes only. Reconciliations of the historical non-GAAP financial measures discussed during this call can be found in the press release Kidpik released earlier today. With that said, I'd like to turn the call over to Moshe Dabah to begin.
Moshe Dabah: Thank you, operator. We are pleased to welcome everyone to today's call where we'll review Q3 2023 and provide an update on the company and its business. We will begin by announcing that the company is evaluating strategic alternatives and then discuss financial and business highlights, followed by a financial review which Jill Pasechnick, our Chief Accounting Officer, will take us through. As a result of the current difficult economic environment in which consumers are pulling back on spending on nonessential items, including clothing, as well as increases in company's cost to acquire customers due to changes in the use of cookie-tracking technologies, the company is currently working to reduce expenses and overhead, sell off inventory and reduce its workforce. Additionally, the company plans to initiate a formal review process to evaluate strategic alternatives for the company. The Board of Directors and management team are committed to acting in the best interest of the company, its stockholders and its stakeholders. Transactions which may be undertaken by the company may include, but are not limited to, business combinations, liquidations of assets and/or sale of the company or its assets. The company does not intend to make any further public comment regarding the review of strategic alternatives until it has been completed or the company determines that a disclosure is required by law or otherwise deemed appropriate. Our third quarter results were, for the most part, consistent with our second quarter results. On the macro level, high inflation, increased interest rates and declining consumer confidence have weakened consumer sentiment resulting in lower discretionary spending. In the face of a challenging consumer environment, we have substantially reduced purchases of new inventory and focused on increasing sales from our current elevated inventory level, which we believe will support our cash flow needs in the short term. In addition, we are taking other actions, including reductions in various operating costs. Having our own proprietary brand gives us the opportunity to expand beyond the box. We are working to increase our proprietary brand sales through our own e-commerce site, shop.kidpik.com and other third-party platforms. We invite you all to visit our newly launched holiday website at kidpik.com to see our e-commerce brand experience with added new UX convenient features. Through our revamped websites, customers can shop fashion items, gift items, curated items, freestyle boxes or our famous Basics for the holiday season. Thank you for your interest and support. With that, I'll turn the call to Jill to detail the financial highlights of the quarter. Jill?
Jill Pasechnick: Thank you, Moshe. Q3 revenue was $3.4 million, a decrease of 7.4% year-over-year and a decrease of 6.7% quarter-over-quarter. The decrease in revenue was primarily driven by a decrease in subscription box sales. Looking at quarter 3 revenue by channel. Subscription sales were approximately $2.4 million, a decrease of 15.4% quarter-over-quarter. Third-party website sales increased to $492,000, an increase of 4.9% quarter-over-quarter. Online website sales increased by 58.3% to $470,000 for the quarter. Moving to revenue by subscription for the quarter. Active subscriptions for recurring boxes decreased by 14.2% to $2 million year-over-year. New subscriptions of first box decreased by 20% to $0.5 million. Total subscriptions decreased by 15.4% to $2.4 million, which represents 72% of total revenue. Turning our attention to gross margin. Gross margin for the quarter was 61.1%, a year-over-year increase of 80 basis points. Shipped items for the third quarter decreased by 18% to $292,000. Keep rate for the second quarter was 82.6%, which is an increase of 14.1% to our keep rate from last year's period. On the bottom line, net loss for the quarter was approximately $1.9 million or a loss of $0.24 per share compared to a net loss of $2.4 million or a loss of $0.32 per share last year. Speaking to non-GAAP adjusted EBITDA for the quarter was a net loss of $1.6 million compared to a net loss of $2.1 million last year. Now to the balance sheet and cash flow. Cash at the end of the quarter was approximately $60,000 compared to $605,000 at the end of 2022. We used $0.5 million in operating cash flow for the most recent 39-week period compared to $7 million last year. In order to improve our cash position, we significantly reduced purchases of new inventory and reduced operating expenses. As of September 30, 2023, we had $9.7 million in total current assets, $5.1 million in total current liabilities and a working capital of $4.6 million. With that, I will turn the call back to the operator. Operator?
Operator:
Moshe Dabah: Thank you, operator. Thank you all for joining us today. Thank you for your continued support and interest in Kidpik. If you have any additional questions, please contact us at ir@kidpik.com. Wishing everybody a great day and an inspiring and healthy holiday season. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.